Operator: Good day, ladies and gentlemen. Welcome to the Curtiss-Wright Fourth Quarter 2016 Financial Results Conference Call. At this time, all participant lines are in a listen-only mode to reduce background noise. But later, we’ll be holding a question-and-answer session after the prepared remarks and instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference call is being recorded. I would now like to introduce your first speaker for today, Jim Ryan, Senior Director Investor Relations. You have the floor, sir.
Jim Ryan: Thank you, Andrew, and good morning, everyone. Welcome to Curtiss-Wright’s fourth quarter and full-year 2016 earnings conference call. Joining me on the call today are Dave Adams, our Chairman and Chief Executive Officer; and Glenn Tynan, our Vice President and Chief Financial Officer. Our call today is being webcast, and the press release as well as a copy of today’s financial presentation are available for download through the Investor Relations section of our company website at www.curtisswright.com. A replay of this call also can be found on the website. Please note, today’s discussion will include certain projections and statements that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on management’s current expectations and are not guarantees of future performance. We detailed those risks and uncertainties associated with our forward-looking statements in our public filings with the SEC. In addition, certain non-GAAP financial measures will be discussed on the call today. The reconciliation is available in the earnings release and at the end of this presentation. Our discussions today of current and future results, except for cash flow, are on a continuing operations basis which excludes all previously announced divestures. In addition, any references to organic growth exclude the effects of foreign currency translation, acquisitions, and divestitures unless otherwise noted. And finally for the sake of a proper comparison, when reviewing growth rates for 2016 we’re comparing 2016 results to pro forma 2015 results, which exclude the one-time AP1000 fee of $20 million from both sales and operating income within our Power segment and Curtiss-Wright overall. Now I’d like to turn the call over to Dave to get things started. Dave?
David Adams: Thanks, Jim. Good morning, everyone. For our agenda today, I’ll begin with the key highlights for 2016, followed by Glenn who will provide a more thorough review of our fourth quarter performance along with our initial 2017 guidance. Then I’ll return to wrap up our prepared remarks before we move onto Q&A. Overall, we are quite pleased with our full-year 2016 results, as our diversified portfolio businesses allowed us to mitigate headwinds in several of our commercial markets. We generated strong margin expansion in 2016, achieving an operating margin of 14.6%, up 130 basis points when compared with pro forma 2015 results. We also delivered solid EPS growth of 12% year-over-year. You’re witnessing the tremendous benefits of our ongoing margin improvement initiatives, driving Curtiss-Wright’s profitability into the top quartile of our peer group well ahead of the five-year timeframe that we established at our 2013 Investor Day. I’m proud to say that we’ve accomplished this feat in only three years by effectively executing against our margin improvement plans. In 2016, this included restructuring and facility consolidations as well as our enterprise-wide focus on lean and supply chain initiatives, all elements of our original long-term plan. While we are proud of our team’s ability to meet this goal on an accelerated timetable, we do not intend to rest on our laurels. As we’ll review in a few minutes, we expect to deliver another solid performance in 2017 with continued organic operating margin expansion. We also generated very strong free cash flow of $376 million, one of the strongest performances in the company’s history, led by efficient and effective working capital management. This led to nearly 200% free cash flow conversion. Glenn will provide a deeper dive into our performance in a few minutes. Before handing it over to Glenn, I wanted to cover a few of the exciting highlights since our last call. I’ll begin with the AP1000 program and some updates on a Reactor Coolant Pumps. First, on the original China contract from 2007, we recently shipped the 16th and final RCP and have now completed that original production contract. Plant construction continues in China as they draw closer to the startup of Sanmen 1, which is expected to be the first AP1000 reactor in operation in the world. We and the nuclear industry are eagerly awaiting this exciting milestone. In addition, revenues on the 2015 China Direct contract have begun to ramp up, and will continue to accelerate through 2019 as we previously indicated. We expect to see strong revenue and margin contribution from this order over the next three years. I’d like to reiterate that our pumps are being sold directly to the Chinese for insertion into the four new AP1000 plants that are being constructed in China. Over the long-term, China has tremendous need for clean energy and increasing demand for nuclear power. It is the largest potential market in the world for the AP1000 reactor and continues to present Curtiss-Wright with a greater opportunity to supply our RCPs. Next in the U.S., we have 12 remaining pumps to be shipped over the next few quarters and we continue to make solid progress on this contract as it too nears completion. Note that revenue and margin recognition on this 2008 U.S. contract will be essentially complete by the end of 2017. In other news, we closed on the acquisition of Teletronics Technology Corporation or TTC in early January, and I welcome our new employees to Curtiss-Wright. While I tend to spend a few minutes on TTC later during our call, I wanted to emphasize that this acquisition is the ideal strategic and financial fit for Curtiss-Wright. We appreciate our investors’ patience as we searched for a suitable acquisition that met our criteria. Now, I would like to turn the call over to Glenn to provide a more thorough review of our 2016 performance and 2017 financial outlook. Glenn?
Glenn Tynan: Thank you, Dave, and good morning, everyone. I will begin by spending a few minutes discussing the key drivers of our fourth quarter 2016 operating performance. Starting with the Commercial/Industrial segment despite a 4% decline in sales, operating income was up 13%, and operating margin was up 270 basis points to 17.4%. This performance was favorably impacted by improved profitability on our industrial vehicle products, and the benefit from our restructuring and facility consolidations initiated in early 2016. It is worth noting that industrial vehicle sales showed some signs of stabilization during the fourth quarter. Meanwhile, we continue to experience weaker sales in the oil and gas market albeit less than in previous quarters. Next in the defense segment, which concluded 2016 with strong fourth quarter profitability, as operating income improved 10% and operating margin was up 110 basis points to 25.5%. Though our overall sales fell short of expectations, principally due to timing within the naval defense market, we experienced continued higher growth in sales and profitability within our COTS embedded computing business, as well as the benefit of our ongoing margin improvement initiatives. In the Power segment, after excluding the one-time AP1000 fee from fourth quarter 2015 results and as shown on the right side of the slide, operating income improved 54% and operating margin was up 700 basis points to 20.5%. These results reflect a strong improvement in operating income and margin on the AP1000 program due to higher production volumes on the U.S. and China Direct contracts. We also generated higher profitability in our nuclear aftermarket business, despite relatively flat sales due to the benefits of proactive restructuring and cost reduction initiatives. Overall, we generated a strong improvement in operating income and operating margin when compared to pro forma 2015 results. As you can see on the lower right side of the chart, overall Curtiss-Wright operating income increased 20%, which led to a strong 320 basis point improvement in operating margin to 18.8%. Through our ongoing and companywide focus on working capital, we substantially reduced our working capital as a percent of sales 440 basis points from 25.4% at the end of 2015 to 21% at the end of 2016. Our focus in 2016 was on reducing past due receivables, extending vendor payment terms, deploying a supply chain financing option and aligning our inventory management with our lean program. Those working capital improvements contributed heavily to a strong 38% boost to our free cash flow compared to the prior year. We concluded 2016 with a very strong free cash flow of $376 million and a free cash flow conversion of 199%, both well exceeding our expectations. This is a fantastic achievement for Curtiss-Wright and the highest level in recent history. This performance was driven by the significant reduction in working capital including higher advance payments related to the new China Direct AP1000 order, a $20 million one-time benefit from unwinding our swaps and lower tax payments. We achieved this performance despite an increase in capital expenditures principally related to plant facility consolidations. Additionally, although we ended the year with over $500 million in cash on the balance sheet, we quickly deployed about half of that balance to fund the acquisition of TTC in early January. Turning to 2017, excluding TTC, our outlook is in line with the preliminary guidance provided at our Investor Day with expectations for flat sales, modest operating margin expansion and a minimum base free cash flow and conversion. We have expectations for solid free cash flow in 2017, ranging from $260 million to $280 million with an expected conversion rate of 135% to 142%. Both are in line with our long-term guidance provided during our recent Investor Day, which includes maintaining an annual base free cash flow of at least $250 million, and an average free cash flow conversion of at least 125%. Following the strong 2016 performance, we anticipate our free cash flow to be lower in 2017, principally due to lower advance payments on the AP1000 program as expected, the non-recurring swap benefit and increased tax payments. In addition, our guidance for capital expenditures remains consistent with 2016, while depreciation and amortization are expected to increase $10 million to $20 million primarily due to the addition of TTC. Moving onto our 2017 end market sales guidance, on an organic basis we expect increased sales to our defense markets and essentially flat sales to our commercial markets. Total sales are expected to grow between 3% and 5% including the expected sales from TTC of $65 million. For reference, the majority of TTC sales are to the aerospace defense market with the remainder to the commercial aerospace market. In the defense markets, overall sales are expected to grow between 7% and 9%. We expect the benefit - we expect to continue the benefit from the favorable trends in defense spending and an anticipated higher base defense budget. This is especially true in aerospace defense, where we are expecting higher demand from embedded computing products on several key fighter jet and C4ISR programs, including the F-35 and Global Hawk UAV. Sales in this market are expected to increase 28% to 30% including TTC. In ground defense, we expect increased international sales of our turret drive stabilization systems to be more than offset by reductions in several U.S. ground defense programs. As a result, sales in this market are expected to decline 4% to 6%. Naval defense sales are expected to decline between 3% and 5%, principally due to reduced year-over-year revenues on the Virginia-class submarine program, due to timing of production. For reference, this affects both our Commercial/Industrial and Power segments. Moving on to the commercial markets, where overall sales are expected to be flat to up 2%. Commercial aerospace sales are projected to be flat, as improved demand for sensors and controls products are expected to be offset by lower sales of actuation systems and surface treatment services. In power generation, we expect sales to grow between 3% and 5%, driven by higher revenues on the China Direct AP1000 revenue and higher valve sales supporting international reactors. However, those gains are expected to be partially offset by reduced demand in the nuclear aftermarket business, in what we believe to be the trough year in the cycle. In the general industrial market, we expect sales to decline between 1% and 3%. Starting with industrial valves, although a few positive industry trends have emerged in recent months, the overall environment continues to be challenging. We therefore remain conservative with our outlook. As a result, we expect industrial valve sales to decline slightly. Moving to industrial vehicle, sales are expected to be flat to up slightly, principally for on-highway vehicles. And the remainder of our general industrial businesses, which tend to be economically sensitive, are expected to be flat. Finally starting on Slide 15 in the appendix of our presentation, you will find detail breakdowns of our full-year 2016 sales by end market as well as our 2017 end market sales waterfall chart. Continuing with our financial outlook for 2017, we expect full-year sales to range from approximately $2.17 billion to $2.2 billion, up 3% to 5% including TTC. We expect TTC to be breakeven to operating income and EPS in 2017, and 50 basis points dilutive to operating margin in the first year due to purchase accounting. As a result, total Curtiss-Wright operating income is expected to grow 3% to 5%, while operating margin is expected to be flat to up 10 basis points to a range of 14.6% to 14.7%. However, organically our margin will be north of 15%. Continuing with our outlook by segment, in the Commercial/Industrial segment we expect sales to be flat to down 2%, primarily based on our outlook in the naval defense and commercial aerospace markets. However, the benefit of the restructuring and facility consolidation initiatives implemented in 2016, along with ongoing cost mitigation actions in 2017, are contributing to a slight improvement in operating margin to a range 14.3% to 14.5% despite the lower sales. Next to the defense segment, where sales are expected to grow 2% to 4% organically or 16% to 18% including TTC, led by growth in the aerospace defense market. On an organic basis, increased sales and the realization of the benefits of our 2016 restructuring actions are projected to drive higher operating income and margin. However, we also anticipate increased investments in R&D in 2017 to support our hi-tech embedded computing products, which will continue to drive organic growth. Overall, we are projecting segment operating income to grow 5% to 7%, but we expect a 190 basis points to 210 basis point reduction in operating margin to a range 19% to 19.2%, after the 250 basis point margin dilution from TTC. Next to the Power segment, where sales are expected to range from flat to up 2%, primarily due to higher AP1000 revenues, partially offset by lower nuclear aftermarket and submarine revenues. We are projecting operating income and margin to essentially remain consistent with 2016 as increased profitability on the AP1000 program is partially offset by lower aftermarket enabled defense sales, unfavorable overhead absorption and increased investments in R&D. Therefore, our guidance for operating margin in this segment is a range from 14.6% to 14.7%. Continuing with our 2017 outlook, we expect pension expense and the effective tax rate to increase slightly compared to 2016, while interest is expected to remain relatively flat. In addition, we are forecasting $44.9 million in diluted shares, essentially flat from 2016, which includes our expectations for $50 million in share repurchases to offset all dilutions and stock issuances in 2017. Our guidance for diluted earnings per share is a range of $4.30 to $4.40, which represents EPS growth of 2% to 5% over 2016 results. Regarding TTC, as I noted earlier, we expect it to be breakeven to operating income and EPS in year one. While it is not our practice to discuss the actual contribution, TTC otherwise will be accretive to 2017 earnings per share, excluding the one year-one purchase accounting, which includes inventory step-up and other short-term intangibles. For 2018 and beyond we expect TTC to be accretive to our overall profitability and EPS. And accordingly, we will include it as part of our 2018 guidance. For your EPS modeling purposes, please note that we expect approximately 35% of our full year 2017 EPS to be in the first half of the year and 65% in the second half. We expect first quarter earnings per share to be lower than last year, and to range from approximately $0.50 to $0.60, primarily due to the purchase accounting costs related to TTC. We anticipate each quarter increasing sequentially and the fourth quarter being our strongest, as we have done historically. Now, I would like to turn the call back over to Dave to conclude our prepared remarks. Dave?
David Adams: Thanks Glenn. I like to continue with a discussion on the rationale and benefits of our recent acquisition of TTC. As discussed last year and illustrated in the presentation, we believe that we earn the right to acquire again based on our solid operational performance since 2013. TTC fits the new Curtiss-Wright business model both strategically and financially. We seek companies comprising high intellectual property content with strong competitive positions. TTC is a leading designer and manufacturer of high technology comprehensive data acquisition and flight-test instrumentation systems. When combined with Curtiss-Wright’s existing operations with similar expertise, it firmly establishes our position as a leading global supplier of these technologies to the aerospace and defense markets. The acquisition significantly increases our scale and diversifies our product portfolio, customer mix and geographic presence in this niche segment. Further, beyond year one, we expect this transaction to support our long-term financial objectives of margin expansion, strong free cash flow and solid return on invested capital. I look forward to this business contributing to our future growth. Looking ahead, we remain committed to growing the top line, both organically and through acquisitions, to further enhance shareholder value. We will continue to review all acquisition opportunities with stringent scrutiny and financial discipline, seeking deals that will contribute to our long-term profitability expectations. In summary, we are well positioned to deliver solid results in 2017 led by strong defense and AP1000 revenues. While we will continue to experience some headwinds in our industrial businesses, we’re hopeful that those industries will turn the corner heading into 2018. We expect our overall operating margin to be up slightly in 2017 despite the purchase accounting from the TTC acquisition. On an organic basis, we expect another 50 basis points to 60 basis points in margin expansion, driven by our team’s ongoing solid execution. We also expect solid free cash flow generation this year with a free cash flow conversion rate north of 135%. We remain committed to deploying the capital allocation strategy where our goal is to maintain a fair balance between operational investments including R&D, returns to shareholders and strategic acquisitions. Overall, we look forward to continuing to deliver on our long-term strategy and driving solid value for our stockholders. At this time, I’d like to open up today’s conference call for questions.
Operator: Thank you. [Operator Instructions] We’ll be taking our first question from the line of Michael Ciarmoli from SunTrust. Your line is open.
Michael Ciarmoli: Hey, good morning, guys. Thanks for taking my question.
David Adams: Good morning, Mike.
Michael Ciarmoli: Great vibrant [ph] cash flow there. Hey Dave, I definitely appreciate the color on the margin expansion excluding the impact of purchase accounting. So how should we think about, I guess, the trajectory of margins going forward? You haven’t updated the long-term model from that original goal. Can you maybe give us a sense of what you think, what levers you think you have left to pull? And I know this year is pressured. But as we look into 2018, maybe you start to get that nuclear aftermarket back, maybe the navy revenues start to accelerate. How should we think about margins going forward, considering you’re already above that target and above 15% this year?
David Adams: Yes. Good question, Mike. We’ve been asked that - and it was interesting that, it was fantastic that we were able to achieve in three years what we set forth to do in five years. And I think that if you all have - if you listened carefully over the last three years and watched the actions, it has been under-promise and over-deliver. And we continue that culture in this corporation, as well as in line with that the continuous improvement culture that we have as a corporation, every single one of our vice presidents have their plans in terms of expanding their margins and gaining more foothold on what we’ve already achieved. So we’re not going to give up on where we’re at today. What I have indicated in more recent calls over the last, let’s say, year has been that we got to the top-quartile that we aimed for. And like I said, we’re not stopping there. Maybe our top-quartile amongst our peer group is going to shift a little bit. And it looks like this year that we’re going to be even higher than what we thought from the perspective of peer group comparison, I’m talking about 2016. So we’re feeling fantastic over that. And in terms of going forward, our focus continues to be, continues to be proven, it is about growth. And TTC is a great example of how we’re going to grow the business. We do see some organic opportunities. You mentioned the aftermarket nuclear, back in 2018. So we’re thinking that this will be basically the trough of that from all indications, and we’ll start pulling back up in that market toward the end of the year. The navy, nuclear navy and so forth looks pretty strong for us although it’s all about timing. So everything we’re hearing about from the press, from the administration is very strong support in that regard, so real optimistic in that. That’s great margin for us. AP1000, we talked about that, with margins that we expect there. And generally, I think we’re very well poised for any uptick in the general industrial. We are seeing little bit, let’s say, little glimmer of hope in the last quarter, fourth quarter of 2016, with some improvement on the valve side, the couple of orders that have come in, they were nice for us. And that along with some of our peers in that market segment have indicated that they’re feeling pretty good as well. So those bring tremendous margins with them. And so in terms of valves in general, like I’ve said before, acquisition target candidates are including - inclusive of the valve industry as well. So it’s for that very reason that they are margin contributors. So we are looking positively toward this year and then, like I said, in many other markets coming out of 2018. But we get any bump from general industrial we’re going to fair very well.
Michael Ciarmoli: Got it, got it. That’s helpful, and then just one more and I’ll get out of the way here. Maybe revenues, I guess, down in the quarter on timing, not a strong next year. It seems like from all the Washington D.C. rhetoric, navy could be a big winner. What do you guys seeing out there? What are the implications if the fleet goal goes to 355, or we get one or two extra subs per year? Just a little surprised doing that the - I guess the timing is impacting both the current quarter and all next year as well. When do you guys are kind of seeing that benefit?
David Adams: Well, I think - okay, I’ll take that one. What you are saying right now, it’s mainly in the subs area. The aircraft carrier is kind of flat, but in the subs - right now we’re in the beginning [to writing the void] [ph] between Block IV and Block V on the Virginia-class. So Block IV has kind of dwindled down, and Block V hasn’t really started to ramp up yet. So that’s - we are in that little cycle right now. And aircraft carriers are flat, because CVN-80 hasn’t kicked in yet either, which is also on the horizon. So I think after we get through this year even it could be - it could start early - later this year. But we just don’t have those orders yet. But that’s really what’s happening in our naval stance right now.
Michael Ciarmoli: Got it. All right. That’s helpful. Thanks, guys.
David Adams: Nice, Mike.
Operator: Thank you. Our next question comes from the line of Ryan Cassil from Seaport Global. Your line is open.
Ryan Cassil: Hey, good morning.
Glenn Tynan: Good morning, Ryan.
David Adams: Good morning, Ryan.
Ryan Cassil: I’m on the road here. So I apologize for the background. Could you talk a little bit about what you are hearing from the customer in China on the AP1000, whether the news that out of Westinghouse has any impact on the orders that you already have with China? I know they are building their own, but could you just give us some color there? And perhaps could you just talk about maybe where China is with the - being in the fuel holding stage on the original order and what that means in terms of the success - potential successes and failures, I guess, with getting that facility up and running at this point?
David Adams: Great question, Ryan, I appreciate that. We have all seen the news recently, over the last couple of weeks that’s coming out of Japan. And several news articles on the AP1000 or Westinghouse in specific. And it’s been - it’s certainly interesting times watching what’s happening there. I can tell you that the way you phrase the question, you are familiar certainly with our contract. Our most recent contract, December 15, was with China Direct. And we are shipping and selling directly to the Chinese. And we’ll continue to do so through that - that program has revenues through 2020, and although they tapper off in year 2020, but the heaviest now through 2019. And our expectation continues to be that is the most robust market in the world for the AP1000 nuclear power plant. And we don’t see any from this perspective, and at this point, we don’t see any tie and whatsoever from a negative perspective with regard to what’s going on with the Japanese side of the issues facing Westinghouse and Toshiba. They are separate. And mostly from what we can tell tied to those plants that Westinghouse is constructing and that’s the Vogtle and Summer facilities in the United States. And those are continuing to operate as planned in terms of their outlook. We will complete our deliveries this year for AP1000 domestic, RCPs. And Westinghouse continues to pay on time. We’ve not seen anything there. So there is no interruption from that perspective. Our future as we’ve talked about with regard to green energy or clean energy, and the biggest need in the world has been and looks to be for the long-term Asia/China predominantly. And so we look forward to that. In terms of the fueling up, they are on schedule from what we’ve been told to fuel up and hopefully start up in July, that’s what news is coming out of China. So Sanmen 1 looks to come online at that time. They’ve gone through hot functional testing, which is the key indicator for any anomalies that might come up which nothing that we know of has. So there doesn’t appear to be any sort of interruption in that specific area. So we’re looking forward to that. I do believe once that occurs, once we get the news that they had a successful power up and things are looking great, then I think that positive news is going to reverberate through China. And with the other energy suppliers, who are anxious to move ahead and there is significant interest in moving ahead. We’re continuing continuation of that nuclear energy and specifically the AP1000. And that to us, it all looks great, still looks fantastic. I’ve read also that the - and again, I’m just quoting from what I’ve read, you all probably read the same thing. The Moorside project in Great Britain, from what came out of Japan, most recently - in last couple of days was that from Toshiba that that continues to be something that Toshiba and Westinghouse will support, and along of course with the two domestic U.S. plants. And so we’re looking to that as being a possibility that continues. And then India, we’ve talked about that a few times. What I said before, and I’ll continue to say, and this is really follows and tracks well with my conservative stance and our corporate conservative stance, and that is - that the India plant was never in our strategic plan. What I indicated last time on the call was that the president and the administration from India got together last June and they put a line in the sand of having something accomplished by this June relative to the liability that they would - a indemnification that they would allow. And I don’t know what’s going on with that. I would think that at this point - at least from what I’ve read, if someone comes in there with an opportunity to construct Indian power plants that from what I’ve seen Toshiba is interested in maintaining the design and maintenance side of AP1000 nuclear power plant - or designs. And so, that still holds positive for us. It was never in our strategic plan. And we wouldn’t count those chickens before the eggs were hatched anyway. I said look that, look, if that happens - I think on the last call, if it happens, fantastic; if it doesn’t, okay. We’re still very well poised with the Chinese and the world’s largest market. So in a longwinded way of me expressing what I’ve read in the papers and our very positive outlook, in terms of what we’ve got, our facility in Pittsburgh is producing extremely well. They’re producing our RCPs. They’re delivering them. And we are very pleased with the results. As a matter of fact, a couple of our team members are going into China tomorrow as a matter of fact. And one of their plans, trips, and just going to visit some of the sites and see how things are going, just get a closer firsthand look to make sure that our folks that are in China that are providing us with all this information are accurate and we believe it will be a very positive trip. So overall looking good for us. Nothing has changed from that perspective. We never counted on the U.S. market as being a huge growth market for OEM nuclear power plants. It’s always been China one and others following them.
Ryan Cassil: Okay, great. Appreciate all the color there, especially on India. I guess, just to kind of paraphrase it from my understanding, I mean, it seems like perhaps there is more scrutiny or pressure now for that Chinese facility to get up and running successfully, and that sort of validates the design of the AP1000. But on the bright side, everything seems to be going to plan there. And you’re not hearing any indications or sort of hesitations from the Chinese customer based on what they’re hearing from Westinghouse today, is that fair?
David Adams: Yes, absolutely. We’ve not heard the word one in that regard. Then they’re doing their own construction. And I’m sure they’ve got some consultation and so forth tied into that. But now they’re with all steam - full steam ahead in that regard. And as we said before, the need is absolute. There is no question about the need. And it’s not a competing deal with natural gas or diesel or coal. I mean, this is clean energy, which is in dire need in China. So, yeah, it’s absolutely very positive, everything that we have coming out of China. So no problems at all that we’ve seen.
Ryan Cassil: Okay. And then just on the U.S. plant. I mean, do you guys bear any liability at this point or is it just shipping those last units? Just want to kind of clarify that.
David Adams: Yeah, we have nothing to do with construction. And ours is simply to deliver the RCPs. And we purposely awhile back, couple of years ago, we sat down with WAC [ph] and the Chinese figured out, all right, here is the best approach to deliver to the Chinese and then the domestic finish those off on our old contract, and then resume with the new ones. So, yeah, there is - it’s just now all about us wrapping up, put a nice little ribbon around those RCPs and shipping them off to domestic. And those are on track, on schedule, and we visited the facility at last November. If you are out there today, you would see the plant follow the same activity you saw back then, and in this case, directed to some of the builds for the domestic. So as a matter of fact, I think we have [afforded that and] [ph] ready to go here pretty soon to domestic. So, yeah, no problem, and like I said, good news. I mean, we’re getting paid for it, so no delay in that regard and we’ve gotten assurances that there won’t be. So we feel very comfortable with where we are at in that space.
Ryan Cassil: Great. Look forward to seeing you guys soon and I’ll pass it on. Thanks.
David Adams: Thanks, Ryan.
Glenn Tynan: Thanks, Ryan.
Operator: Thank you. Our next question comes from the line of George Godfrey from C.L. King. Your line is open.
George Godfrey: Thank you. Good morning, gentlemen.
David Adams: Good morning.
Glenn Tynan: Good morning.
George Godfrey: I wanted to ask about the margin expansion as we go into the outer years. And, Dave, I’ve heard you loud and clear that your organic margin would be up, above 50 basis points this year. If we assume the top line expands organically, and 2018 and 2019 as we look on, is it your thought that you put that incremental margin back into the business in investment, or do we see continued margin expansion as we go to outer years beyond the 15%?
David Adams: You know what, I think for the most part let’s just say, steady state where we are today, and this is not foreseeing any change in our acquisition strategy, meaning that we don’t - let’s say, nothing comes up that’s a huge margin accretion for us. I do believe that it will be an incremental margin expansion sort of outlook for us, given that once we have some top line growth, and once we can integrate something like this, TTC business, into our system, we’re going to continually see some expansion. We will spend more R&D money, like we started talking about last year, we’re spending more this year. And that’s for the pure purpose, obviously, of growing the organic side. And it really sticks to the ribs, if you will. Once you do start, you’re gaining traction with organic order wins and so forth. But we are going to maintain. Now, here’s a watchword of the day, we are going to maintain our top quartile amongst our peer group. And we are not going to relent from that. And that’s important for us, because with some metric that we strove for back in three years ago, we had to get there to show that we could do something with the acquisitions that we could acquire, turn them into a Curtiss-Wright type company. And in the case of TTC, we are just very happy that we acquired that. I think it’s going to be a fantastic one. I’m looking forward to others that mirror the sort of approach we took on that. And that is an extremely diligent outlook in terms of what they bring to the table with proprietary products and so forth. That brings the higher margins than you would otherwise. So it’s that kind of a strategy going forward. We’re going to spend money in the right places to develop the growth side, but with the watchful eye on not relenting from that top-quartile status here. And then just I’ll toss in something I left out with my response to Mike. And that was some of those tried and true measures about continuous improvement that are baked into our culture are the shared services. We are well on our way with that. I mean, we talked - we’ve beat that horse dead, I mean it’s really working well for us. We got more room to grow there. We have the consolidation that we started last year. There was a $12 million deal. It’s going to generate $12 million in savings for us, last half of last year we began. This year we pick up the other half and then we start having run rate of that. And we have other consolidation opportunities that we look at that are smaller. But they continue. And that’s just - combine that with the lean supply chain initiatives and other margin improvement initiatives that we have. And you would be surprised to see the different margin improvement initiatives that are underway, reverse auctions, and like I said, the supply chains there. They pay a little bit here, a little bit there. It all adds up to 50 basis points, 25 basis points whatever that gets into big numbers for us. And that’s where I’m going to stop. So looking forward 2018 turns around in some of our markets, it really picks up for us. And we’re feeling really nice. I mean, 2017 is going to be flat with some of the things that Glenn talked about, but some other nice opportunities that are lurking out there, including our most recent acquisition.
George Godfrey: That all sounds really good. And as you said, you clearly have earned the right to open up the opportunity on acquisitions. And I realize TTC just closed, but given the impressive free cash flow generation this year they just competed, and now looking ahead over the next two years, you intend to remain pretty steady on due diligence on doing more acquisitions as we move forward.
David Adams: Yes, absolutely. We remain very diligent. I mean, this is a process that - we were a serial acquirer we lovingly refer to ourselves in years past. And we took that to get us a critical mass there and that’s fine. We got there. And then we changed course. Three years we focused on something that was extraordinarily important to us. And then, we said - if you want to call a self-deprecating mode three years ago. Look, we know where we’ve been. We know where we come from and we know we’re going to go. And once we get there, then we’re going to change a little bit of course. And that course is not going to be in giving up in the metrics that we just found very hard to achieve. It’s going to be in a focus on the growth side and coming in with opportunities that they’re paid very handsome dividends for our shareholders. So, yes, we’re there. And you saw TTC out of the gate, and you’re going to see more of that kind of stuff coming on board. And we got some that we continue to look at. They take a long time to happen sometimes and we look at a lot. And so pipeline from that perspective is pretty decent for us. It’s a much more of high quality pipeline than what we have seen in years past.
George Godfrey: Understood. Thank you very much for taking my questions.
David Adams: Thanks, George.
Glenn Tynan: Thanks, George.
Operator: Thank you. Our next question comes from the line of Myles Walton from Deutsche Bank. Your line is open.
Louis Raffetto: Good morning. This is actually Louis Raffetto on for Myles.
David Adams: Hey, Louis.
Glenn Tynan: Hey, Louis, good morning.
Louis Raffetto: So thanks for the quarterly sort of sequential increase. And, I guess, I’m trying to figure out, is that - is it volume based, is it mix based? I get the TTC impact, but just trying to figure out if we should expect such a ramp in sort of margins throughout the year specifically in commercial, I guess, specifically in commercial. And if Power is more level now, is this sort of the new area with the new contract becoming more prominent and the old ones going out the door?
Glenn Tynan: Well, let me. In our guidance by working through the OI, if take out TTC from our sales or the remaining sales are going up about a $11 million and our OI going up 16, that is our margin improvement for the overall. And some of it comes from the sales volume and absorption. And some of it comes from our margin improvement initiatives that Dave mentioned mostly supply chain management. We have $6 million of net restructuring, which is the second half of the actions we took last year. And then we have some benefit of mix. And the mix is the China Direct contract and our COTS products. But what is offsetting and somewhat offsetting then, is we also are increasing our investments this year, about $7 million. $5 million of it is in R&D. $2 million of it is in IT security. When you add all that up that kind of gets you, where you’re seeing the benefit of our restructuring. In facility consolidation, you’ve seen our other operating margin initiatives flowing through as well. And I can go by segment as well, but that…
Louis Raffetto: I mean, sequentially throughout the year. So, I mean - and commercially you are from 11% in the first quarter to 17%. And then sort of same idea power you up from 12% to 20% in the fourth quarter. So I just - should we expect that same sort of ramp I guess on the margin front?
Glenn Tynan: Yes, yes, yes. I’m sorry. Yes, as we have done in the past, this year each quarter is going to improve sequentially from a margin standpoint. first quarter this year - and the fourth quarter being the highest and the first quarter being the lowest. This year it’s a little bit lower than usual, because - I mean, because TTC in the purchase accounting. Their major purchase accounting costs occur in the first two quarters.
Louis Raffetto: Okay.
Glenn Tynan: So, yes, you should expect as in prior years sequential large improvement, absolutely.
Louis Raffetto: All right. And then just follow-up, I guess, thinking ahead a little bit you’ve got the China 2000 contract behind you. You said you’re winding down on the U.S. contract. So looking to 2018 here, is the ramp on the new China contract enough to offset sort of the other two sort of being away?
Glenn Tynan: Are you talking about 2018?
Louis Raffetto: Yeah, again, not specific, but just thinking - broadly speaking just - if you get the turn in aftermarket as well as 2018 still looking like a pretty decent year, I guess on the AP - on the new-build side and potentially the aftermarket side?
Glenn Tynan: Oh, absolutely. And we did say, we do think this is the trough year for the aftermarket business. I think in our Investor Day our guy, Jim Leachman got up and said pretty much the same thing that it could start picking up in the second half of this year. And then, next year it will be old China Direct. And if the aftermarket comes back, it’s going to be a good year for Power.
Louis Raffetto: Great. Thank you, guys.
David Adams: Thanks, Louis.
Operator: Thank you. Our next question comes from the line of Kristine Liwag from Bank of America Merrill Lynch. Your line is open.
Kristine Liwag: Hey, guys. I just want to follow-up on the AP1000 question. So from my understanding, Sanmen 1 and 2, and Shandong 1 and 2 are built by Toshiba. And I know that the $450 million contract gap with China is now going to be built with Harbin Electric and Shenyang Blower Works. So from my understanding this is the first time that Harbin and Shenyang are building the AP1000. So can you provide some color on maybe contract milestones you have. And if you have any downside protection, if there are program delays for these new power plants?
David Adams: What we’ve got so far is just a milestone. I won’t get into very specific ones other than to meet our shipment delivery days, and also as we talked about, I can’t remember which call it was, but a few back, that we have incentive contracts for delivering early. So as I indicated back then, we are making every attempt to deliver as early as we can. So there at this point appears to be no holding back from anything having been received in China. So we are not seeing any of that. And as a matter of fact, we talked internally about, look, what if there was a hold up domestically, could we then ship some of those domestic RCPs over to China in advance. And our answer internally was, yeah, absolutely, they’re the same RCPs. But there appears to be no hold up domestically either, so from the standpoint that Westinghouse having difficulties that they are, the customer still wants our RCPs as we’ve scheduled, and in China same thing. So we don’t see any interruption. And from a downside it’s nothing that we have seen would causes to start building in a downside sort of plan of action.
Kristine Liwag: It sounds like your RCP contracts will proceed until delivery into the 2020s independent of what happens to the Chinese construction companies, is that fair?
David Adams: Yeah.
Glenn Tynan: Yeah.
David Adams: Yeah, I mean, it’s almost like pretty much like it is with domestic. We are continuing to proceed regardless of what’s going on with the units that are already in place in the domestic sites.
Kristine Liwag: Okay. And then for the India contract, do you have any indication so far of how the Trump administration is viewing that, and whether or not that June 2017 deadline is still in discussion?
David Adams: I can only speculate, Kristine. To say the truth, the situation as we’ve seen it, with the news coming out of Toshiba, my speculation is based upon what I’ve read. And that is that the Chairman most recently said a couple of days ago that they would be very interested in pursuit of the India and continuation of the project, if they could find someone to build the power plant, because they really make all their money on - basically the majority of it on the maintenance side and then of course on the design. I mean, they put in billions to get there. So they are not going to, what we - I mean, at least we don’t think they’re going to just forget about the design they took all these years and time to get to. And so, they would be - I am speculating again - they would be looking for someone to come from the outside to construct it. It certainly won’t be Westinghouse. And then from the administration perspective, I’ve not heard word one coming out of the administration with regard to that. It doesn’t - from my perspective, it’s a matter of selling U.S. products overseas into a market that’s rather large. And do they need it, yes. Would it be great for America, yes. And it also - it answers all the right questions. Now, regarding a relationship, I couldn’t give you even a clue as to that. I don’t know what that is. But I will say from my point of view, it remains what we said before and that was India would be fantastic to realize. At this point, I never looked at those chickens as being they hatched out of the eggs, because I don’t know that that will occur. I don’t know if it will ever occur. On the other hand, I don’t know if it won’t occur. I mean, it would be fantastic for us. And we’re the only ones building RCP, AP1000 RCPs. And the Indians really want the nuclear power plants. So they got a site located for, money I think has been discussed with some people that were funded. And so everything from that perspective would be positive. It’s the construction site and then realistically how long does it take any administration, be it the Indian side or our side, to complete their discussions of indemnification.
Kristine Liwag: Great. And maybe one last question for me, but from a different topic, so surface treatment continues to weigh down your Commercial/Industrial sales. At this point, can you quantify the size of this business today, and if there are any more downside risks that you’re seeing for 2017?
Glenn Tynan: We don’t normally go down to the business unit level, Kristine. But they’re only - they’re not down tremendously or they are down a little bit this year going into 2017, a little bit in 2016. But it’s not large, that it’s a different things. It’s a little bit of auto. It’s a little bit of commercial aerospace. It’s a little bit of everything. So there is nothing major there. But they’re very economically driven company. So they kind of move with that GDP and things in small swings, probably I mean more than we talked about it, because it maybe [large numbers] [ph], but it is really not large.
David Adams: I’ll add to that. From a color perspective, Glenn, hit the nail on the head with this business. It’s a great business when the market is robust. It’s a great business when it’s flat. It makes good margin. It contributes to our overall margin picture and drive. It is GDP oriented. So if you have any growth in GDP anywhere in the world, it’s going to be reflected in this division or in this segment of ours, because we’re located around the world in basically every country you can imagine. And we touched the very beginnings of any industrial project or any automotive project. So if there is any nudge from any industrial market, military market or power side or just anything in general GDP-wise, you’re going to see this thing popping up. And the beauty about it was that if you recall, if you tracked us five, ten years ago, that we used to track the - when all ships float, this ship is much more buoyant than any other that you’ve seen. So the dollar ratio of revenues to our income and profitability isn’t to scale. It’s a much higher scale. And so, it’s really an operation. And when it does pick up, it picks up great. So anybody is anticipating pick up in 2018 or second half of this year whatever, then we usually see it here first. Then I look to that to be, like I’ve talked in years past, my weatherman [ph] in terms of where the globe is headed. And I can do so regionally.
Kristine Liwag: Great. That was very helpful. Thank you.
David Adams: Thanks.
Operator: Thank you. Our next question comes from the line of Sam Pearlstein from Wells Fargo. Your line is open.
Sam Pearlstein: Good morning.
Glenn Tynan: Good morning, Sam.
David Adams: Hi, Sam.
Sam Pearlstein: Glenn, can you talk a little bit about foreign exchange? I see in the fourth quarter it was a drag on the revenues, but helped on the profits. How should we think about the 2017 guidance and what you’re thinking from a foreign exchange perspective?
Glenn Tynan: Yes. So we did - as we typically do around January, we will set our rates. And I would say, from 2016 we reduced the pound about 4%, the euro by about 2%, and increased the [CAT if you’ve ever been what’s the current] [ph]. If you looked at what that means, if we go to 2017 it’s probably about a $4 million headwind for sales compared to 2016 and $3 million tailwind to operating income compared to 2016. That’s we have built into our guidance.
Sam Pearlstein: So if I were to take out the acquisition and kind of put it on a constant currency, what does your 2017 guidance implies for organic sales?
Glenn Tynan: About 1%.
Sam Pearlstein: Okay. Okay…
Glenn Tynan: [You said about flat at Investor Day, it’s a little bit higher though] [ph].
Sam Pearlstein: Okay. And then was there any stabilization in terms of the industrial valves market in the quarter or any change in…
Glenn Tynan: There was, there was. Actually in the valves has - both from an order standpoint and a sales standpoint has, on that I put this, got increasingly less worse compared to prior year. So they’re still down but each quarter has gotten better. And we are seeing somewhat of that. We haven’t - down 5% overall this year, but they were down 30% last year. So that’s moving in the right direction it’s really - especially good to see some order stabilization. We said in our prepared remarks, we are going to stay pretty conservative with that, because we just want to make sure that it happens. So our outlook is we’ve been fairly conservative on the industrial vehicle side it’s very similar. We were down 5% overall last year. We are going to be flat to up a little bit this year. So we’re seeing some signs of movement in the right direction I guess.
Sam Pearlstein: Okay. And then last question is just thinking about the free cash in 2017 and how you prioritize acquisitions versus return of cash to shareholders - obviously, you just did an acquisition in the fourth quarter here. But just thinking about, right now your buyback plan in terms of the authorization seems like it was going to be much smaller than what your free cash is? So should we presume the extras going to be there for an acquisition, how should we think about that?
Glenn Tynan: Look, again, going back to our balance capital allocation, which we - is still our strategy, we are starting out with $50 million. We have CapEx somewhere around the same, around $50 million. You got buyback right now about $50 million. We are still looking at acquisitions. And like we’ve said in the last couple of years, if we get later on in the year and they don’t materialize, we will consider reallocating to shareholder distribution. But we’re starting out a little cautiously this year, because still - our pipeline is pretty good. And we want to see what happens. But we still want to deploy our capital - I mean, our balance capital allocation. So that’s just kind of where we’re at right now.
Sam Pearlstein: Okay. Thank you.
Glenn Tynan: Yes. Thanks, Sam.
David Adams: Thanks, Sam.
Operator: Thank you. We will be taking our final question today from the line of Jim Foung from Gabelli & Company. Your line is open.
James Foung: Hi, good morning.
Glenn Tynan: Good morning.
David Adams: Hey, Jim.
James Foung: Just sorry to revisit the China nuclear again. But I just wanted to get some clarity. In the Investor Day, you presented a slide that showed kind of your revenue projections for the AP1000 from the 2015 order. And then looks like this year you’re going to book about $70 million of revenue. Is that still pretty much in plan? And that kind of goes up to maybe in 2018, like maybe $130 million of sales. That’s just my estimate based on this graph here. But I just want to get a sense. Is that pretty much still intact - of your intent this year, next year?
David Adams: It is. It is. It may fluctuate somewhat. But that graph is still pretty much on target.
James Foung: Okay. And then - so then your guidance that the Power segment being roughly flat in 2017, that really all comes from the nuclear aftermarket, right, that being down again, right?
David Adams: And the submarines, yes, both. I mean, the overall, you take the AP1000. It’s offset by - partially offset by those two, yes.
James Foung: Right. Okay. And then regarding the - and then I think you mentioned several times that, I just want to be clear, that regarding the domestic power plant 20% [ph] that that gets pushed out to maybe 2020 in terms of final construction. But that doesn’t impact your shipments this year, right, to the two - to the standard projects.
David Adams: Yes.
James Foung: And you probably got the cash from that, correct?
David Adams: We do. And it does not impact and we will be done with revenue and margins - is that contract for accounting?
Glenn Tynan: It will be done for us this year.
James Foung: All right.
David Adams: Regardless we bring those plants up live.
James Foung: All right, good. Now, I just want to get clear on that. I think we might have lots of potential here in the nuclear business. That’s very promising. And good luck with the year going forward.
Glenn Tynan: Thank you, Jim.
David Adams: Thanks a lot, Jim.
Glenn Tynan: Thanks.
Operator: Thank you. Ladies and gentlemen, this now concludes our question-and-answer session for today. I’d like to turn the call back over to Dave Adams, Chairman and Chief Executive Officer for closing comments.
David Adams: Thanks, Andrew. And thank you all for joining us today. We look forward to speaking with you again during our first quarter 2017 earnings call. Have a great day. Bye-bye.
Operator: Ladies and gentlemen, I’d like to take the chance to thank everyone again for their participation in today’s conference. This now concludes the program and you may now disconnect at this time. Everyone have a great day.